Operator: Good day, ladies and gentlemen, and welcome to the Logitech fourth quarter financial results conference call. At this time, all participants are in listen-only mode. We will be conducting a question-and-answer session towards the end of this conference and instructions will follow at that time. This call is being recorded for replay purposes and may not be reproduced in whole or in part without written authorization from Logitech. I would like to introduce your host for today’s call, Mr. Joe Greenhalgh, Vice President of Finance and Investor Relations at Logitech. Please proceed.
Joe Greenhalgh: Welcome to the Logitech conference call to discuss the company’s results for the fourth quarter and fiscal year ended March 31, 2010. A press release, a live webcast of this call, and accompanying presentation slides are available online at logitech.com. This conference call will include forward-looking statements, including forward-looking statements with respect to future operating results that are being made under the Safe Harbor of the Securities Litigation Reform Act of 1995. The forward-looking statements involve risks and uncertainties that could cause actual results to differ materially from those anticipated in the statements. Factors that could cause actual results to differ materially include those set forth in Logitech’s Annual Report on Form 10-K dated June 1, 2009 and subsequent filings which are available online on the SEC EDGAR database and the final paragraph of the press release reporting fourth quarter and full year results issued by Logitech and available at logitech.com. The press release also contains accompanying financial information for this call. The forward-looking statements made during this call represent management’s outlook only as of today and the company undertakes no obligation to update or revise any forward-looking statements as a result of new developments or otherwise. I would like to remind you that this call is being recorded, including the question-and-answer portion and will be available for replay on the Logitech website. For those of you just joining us, let me repeat that presentation slides accompanying this call are also available on our website. Joining us today from Zurich is Jerry Quindlen, President and Chief Executive Officer and in Freemont we have Erik Bardman, Senior Vice President of Finance and Chief Financial Officer. I would now like to turn the call over to Jerry.
Jerry Quindlen: Thanks, Joe and thanks to all of you for joining us. I'm quite pleased to report that we ended fiscal 2010, which was arguably the most difficult year in Logitech's history on a very positive note with very strong sales and gross margin performance. Our sales, operating profit and gross margin all exceeded the outlook we shared at the start of the quarter. We returned to generating double digit year-over-year sales growth and we continue to demonstrate outstanding working capital management. One of the highlights of our full year performance is that we delivered a gross margin of 31.9%, essentially backing our long term model range of 32% to 34% and higher than our gross margin in fiscal 2009. Considering our Q1 fiscal 2010 gross margin was roughly 24%. The improvement we achieved during the year is particularly significant and reflects a number of factors including strong consumer acceptance of our innovative new products, supply chain efficiencies, the completion of the reset of our channel partner's weeks of supply and favorable exchange rate movements. Now let me comment on some of the highlights of our Q4 performance. I'm very pleased that we experienced sell through growth and double digit sales growth in all of our retail regions. The sales growth was led by our Americas region with topline improvement of 54% compared to the prior year. Our very strong performance in the Americas was the key factor in exceeding our Q4 outlook and it reflects better than expected consumer demand for our products leading to double digit year-over-year sell through growth in the region. Let me add that I was also pleased to see a return to growth in our OEM business after a number of challenging quarters. I was happy to see strong double digit growth across all of our retail product categories in the quarter. Once again Remotes was our fastest growing retail product category. After posting a 45% sales increase in Q3, growth accelerated to 58% in Q4 resulting in significant market share gains in the category. It was a strong quarter for Pointing Devices as well led by strong consumer demand for our family of cordless mice. Q4 also marked our first full quarter including Lifesize in our results. The integration has been a smooth one and is now largely behind us. I'm extremely pleased with the reception from Lifesize’s customers for our video communication offerings. A couple of indicators of the strong response we’re seeing of that LifeSize achieved records for both billings and unit shipments during Q4. Clearly gross margin was a major highlight during the quarter. At 35.8% we delivered one of our highest gross margins ever and the best Q4 gross margin in our history. This very strong gross margin performance was the primary driver of our better than expected profitability in the quarter. Now as pleased as I am with our strong finish to the year, I’m glad to put fiscal 2010 behind us so that we can shift our focus back to driving double digit growth in fiscal 2011. I will return in a few minutes to talk more about our outlook for the New Year. Now let me turn the call over to Erik, who will provide more of the financial details. 
Erik Bardman: Thanks Jerry. I’ll start with an overview of our Q4 sales performance. Please note that the growth percentages that follow are in comparison to Q4 fiscal 2009. Retail sales grew by 27% with units up 26%. Our overall retail average selling price in Q4 has essentially unchanged from the prior year. Looking at our regional sales in local currency, EMEA was up by 9% and Asia by 8%, compared to US dollar growth of 15% in EMEA and 10% in Asia. Units were up by 33% in the Americas, by 22% in EMEA and by 26% in Asia Pacific. Retail sales mix by price band was stable both year-over-year and sequentially. Sales of our products priced above $100 represented 16% of our retail sales in Q4, essentially unchanged versus both the prior year and Q3. Looking at our sales at products at ASPs bellow $60 their share with the total was 68%, also basically the same as the prior year in Q3. As Gerry mentioned the remote category was our best performing product family in the quarter with sales up 58% and units growing by 22%. Majority of the sales growth is generated in Americas with sales nearly tripling. Growth is led by the Harmony One with notable contributions from both the Harmony 900 and the Harmony 700. It was a strong quarter in the pointing device category, with sales and units up by 32%. The growth was achieved in all regions and was driven by our cordless mice with sales up by 46% in total. We achieved sales growth across all major cordless mice price bands. Sales in the high end were up by nearly 50% due to the continued strength of our two offering featuring Darkfield Laser Tracking for use on virtually any surface. Our sales in the low end nearly doubled reflecting in sales of our attractively priced wireless mice for notebooks such as the N305. Our sales in the video category were up by 21% with growth restrained by the ongoing product transition in our digital video security family as we make way for the next generation offerings coming later this year. Sales in our webcam business were up by 26%, with the units growing by 24%. We delivered double digit video sales growth in all three of our regions. Shifting now to OEMs, we delivered growth for the first time in six quarters with sales up by 1%. It was a relatively strong quarter for our OEM mice with sales up by 10% and units by 13%. Now let me comment on LifeSize. In Q4, LifeSize achieved record high for quarterly billing, which is the value of the customer invoices they generated. In fact billings were more than 20% higher than LifeSize’s Q4 sales of $21 million. While billings and revenues typically aren’t equal due to timing differences related to revenue recognition the dealt this quarter with significantly impacted by purchase price accounting. We mentioned during last quarter’s call which is roughly $5 million in LifeSize preferred revenue that was excluded from our Q4 sales because we weren’t able to recognize it under US accounting rules. This is a onetime issue that won't impact us during fiscal 2011. Let me now shift to growth margin. Our Q4 gross margin improved by nearly 1100 basis points compared to the prior year by 190 basis points sequentially. The year-over-year increase in our gross margin was primarily due to the combination of the weaker US dollar compared to the prior year, operational efficiencies across our supply chain including lower product costs as well as the benefits from faster inventory turns and faster inventory in the channel and favorable product mixtures. We achieved strong year-over-year growth margin gains in all retail product categories with the biggest improvements in remotes and audio. The sequential improvement was achieved despite a weaker Euro and was also primarily driven by operational efficiencies across on supply chain and favorable product mixtures. LifeSize did contribute to our growth margin improvement but it was not material due to onetime purchase accounting entries related to inventory. We expect LifeSize will have a positive impact on the year-over-year change in our gross margin in each quarter of fiscal 2011. Turning now to operating expenses. Our operating expenses were up by 11%, given the $21 million restructuring charge in Q4 of fiscal 2009 as well as the inclusion of LifeSize in Q4 fiscal 2010. The year-over-year growth isn’t particularly meaningful. When we exclude the restructuring charge from the prior year, our expenses grew by 29%, over half of this growth came from LifeSize which is not included in the prior year results. Excluding both LifeSize and the restructuring charges our expenses grew in the low teens in Q4. This growth reflects an operating environment that has improved significantly over the last 12 months. With the worst behind us and economic conditions improving in each of our retail regions, we are once again prioritizing driving topline growth. During Q4 we began to invest in number of areas and activities to ensure we’re positioned to drive profitable, double-digit growth in the quarters to come. Let's move to the balance sheet starting with cash. Our quarter ending cash position was $320 million. Our cash increased by $39 million compared to the December quarter and down $173 million versus the prior year. When looking at the decline in our cash compared to the prior year, it’s important to note that we use $382 million for the acquisition of LifeSize in December 2009, and another $126 million for share repurchases during the last 12 months. Our cash flow from operations for the full fiscal 2010 is $365 million, up by $165 million or 82% compared to the prior year. Cash flow from operations for Q4 was $66 million, an increase of $40million or 157% compared to the same quarter last year. Primary driver of the year-over-year improvement was the $60 million improvement in our net income compared to the prior year. Our cash conversion cycle in Q4 was just 23 days, 46 days better than the same quarter last year due to significantly lower DSO, with faster inventory turns this year, and up five days sequentially compared to the record low set in December quarter. Our inventory decreased by $14 million or 6% compared to the prior year, and it was down by $15 million compared to the December quarter. Inventory turns were 6.1 up from 5.2 in the prior year. This improvement primarily reflects the completion of our channel partner’s weeks of supply resale which has allowed us to more closely align selling and sell through across all retail regions. Our DSO reached a record low of 33 days for the quarter, down by 14 days compared to the prior year. There were several factors driving the year-over-year improvement including excellent execution by our cash collection teams, increased order and shipments linearity due to improved visibility in the channel and the benefits of having the channel reset complete across all of our retail regions. During Q4, we repurchased 1.6 million shares for $25 million completing our existing $250 million program. We own approximately 8.6% of our shares outstanding. We entered the new fiscal year of another $250 million Board approved program that we’ve yet to utilize. That concludes my comments. Now let me turn the call back to Gerry. 
Jerry Quindlen: Thanks Erik. I want to comment now on our outlook going forward. When you go with time, our top priority was positioning the company to emerge stronger from the severe economic downturn. Despite the many challenges we faced during the year, I believe we accomplished what we set out to do. I am pleased to say that our focus in fiscal 2011 is on returning to strong top line and profitability growth by executing our long-term strategy. As we shared at our Investor Day in November of last year, our strategic priorities are based on four tenets of growth. One, focus on the four screens; two, ride the video wave; three, China; and four, leverage open ecosystems. I will address several of these today and we will keep you updated on our progress on each of these tenets at various points during the year. Let me start by talking about the PC, living room and meeting room screens. PC screen is clearly the foundation for the majority of our sales. Install base is huge and it continues to grow, providing us with attractive growth opportunities in categories such as mice, keyboard, PC speakers, PC headsets and webcams. The PC world is clearly evolving from desktops towards more mobile form factors, primarily notebooks and net books today and perhaps at some future point tablets. As you would expect, we are evolving our product portfolio accordingly. In fact, our fiscal 2011 product roadmap will be the most notebook and network centric ever. One of the keys to becoming more notebook centric is changing the way we market our products to the consumer and especially our mice and keyboards. In a desktop-centric world, our marketing messages were primarily targeted at motivating the consumer to upgrade. For example, from the corded mouse that came with their computer to a cordless mouse. In today’s notebook-centric world, most computers don’t with a mouse or any other peripherals. To reach these consumers, our product development and our marketing is increasingly focused on providing them with a compelling value proposition to attach external peripherals to their mobile PCs. Our strong cordless mice sales in the last two quarters is a positive indication that the attach strategy is bearing fruit. We believe we can continue to provide compelling reasons for attachments through differentiator such as unique colors, patterns, and most importantly by solving pain point through new functionality and category leading of innovation such as the unifying technology we introduced last year. The tiny unifying receiver which can be paired with multiple unifying compatible mice and keyboards is small enough to be left in the laptop wherever you go. We will significantly increase the number of unifying compatible products this year, allowing consumers to freedom to mix and match the mice and keyboards of their choice wherever they are, while providing us with an attractive cross-selling opportunity with our growing install base. Shifting now to the living room screen, we are riding very strong momentum with our Harmony remotes with sales growth of 50% in the second half of fiscal 2010 compared to the prior year. Just last month, we introduced three new Harmony remotes all priced below $100, including our lowest price remote, the Harmony 300 at just $49. We believe these new offerings have the potential to dramatically broaden the market that we reached with Harmony by appealing to an even wider range of consumers. We believe the Harmony 300 is the ideal remote for the mass market. It not only delivers on the promise of one attractively priced remote to control your home entertainment system, it also features our simplest and fastest setup process ever. In fact, we developed a new web based setup exclusively for the Harmony 300. We are very excited about the potential for what is our broadest and most compelling remotes product line up ever. To fully leveraged the remotes growth opportunity, especially in the below $100 segment, our Harmony marketing strategy emphasizes demand generation activities, such as informative point of sale displays and regional advertising that clearly communicate the compelling value proposition as one of our top priorities for the year. The bottom line is we expect that this combination of a great product lineup, backed by well targeted marketing messages will result in Harmony being our fastest growing retail product family in fiscal 2011. In addition to the strong growth potential in the remotes category, we also see opportunities for incremental growth from new peripherals in the living room. As the traditional TV mouse into the connected TV, many new opportunities for accessing and interfacing with content will be created. And that means huge opportunities for Logitech to what we already know how to do well, but in an even larger ecosystem, the connected living room. That’s all I will say for now, but expect to hear more from us on this subject in the not too distant future. Moving now to the meeting room screen and LifeSize, as a reminder, we acquired LifeSize, because it represents a key building block in our strategy to ride the video wave and to enable video communication everywhere. I firmly believe that LifeSize will allow us to drive significant growth in video communication for the rapidly growing enterprise and SMB markets. By leveraging the two companies, many technology synergies, including camera design, firewall reversal, video compression technology, and bandwidth management. Having now worked closely with the LifeSize team over the last several months and having recently participated in a thorough review of their product roadmaps, I am more excited than ever about the substantial long-term growth potential of this business. Earlier this week, we announced the LifeSize video center. This unique solution which provides one touch HD streaming, recording, and auto publishing capabilities delivers on that promise to make video communication easy and accessible to anyone anywhere. A LifeSize video center enables organizations to streamline and automatically published hundreds of HD videos simultaneously. Equally compelling is a pricing model that demonstrates the disruptive price performance that LifeSize is known for and that we plan to push even further in the future. We believe that our emphasis on delivering HD quality video experience at disruptive price points with endpoints dropping below the $2000 price point and eventually even below with $1000 has the potential to expand the size of the videoconferencing market opportunity particularly in the SMB space, well beyond existing third-party projections. As you would expect, investing to delivering on LifeSize’s growth potential is one of our top priorities. That said, we continue to expect LifeSize will have a neutral impact on our operating result in FY ‘11, excluding amortization charges. We also expect that LifeSize will begin making a positive contribution to our operating income starting in Q4 of this fiscal year. Let me now shift away from the screens and talk about our strategic growth tenet of riding the video wave. Making video communication accessible to anyone anywhere extends beyond the enterprise and into the home as well. As the leaders in PC webcams, we are well positioned to continue playing a leadership role with video communications both around the PC and in the living room. We plan to further strengthen the competitiveness of our webcam offerings by bringing HD to the entire lineup in the coming months. We believe the combination of high-quality images, attractive design and Logitech Vid are easy-to-use video calling application included with all of our webcams will result in strong growth for us in the webcam category this year. In addition, while I can’t go into the details just yet, I am very excited to note that we will also bring video calling to the living room in time for the 2010 holiday selling season. There is even more to come in video. This summer, we plan to refresh our entire line of digital video security cameras. This will be the first refresh of this unique product portfolio, since we acquired WiLife several years ago and we are optimistic about the growth potential in this emerging category. The last growth tenet that I will discuss today is China. We already have a strong presence in China in the Tier 1 and Tier 2 cities and our sales in China make it one of the three largest markets in our Asia-Pacific region. But our goal which will take several years to achieve is to grow our sales in China, so that it becomes one of our three largest markets worldwide. We plan to achieve this goal through a combination of expanding our distribution coverage beyond the Tier 1 and Tier 2 cities, investing in marketing to raise consumer awareness and generate demand at the point of sale and designing products specifically for the China market. I want to emphasize that while we do plan to invest more in China this year, we expect to fund these investments by re-prioritizing our spending across the company in treating China as one our top priority. We expect to build momentum as we move through the fiscal year and we will provide progress updates from time to time as appropriate. That brings me to our financial outlook. We entered the new fiscal year with an improving economic outlook, a strong balance sheet, and accelerating sales momentum in all of our sales regions. One of the key factors in our retail sales momentum is the alignment between our sales end and sell through that was enabled by the completion of the reset of our channel partners’ inventory. We are well positioned for growth across our product portfolio and we are back to modest growth in OEM, and we are looking forward to a full year of strong top line contribution from LifeSize. For Q1, we are targeting sales of between $450 million and $465 million. We expect our gross margin to be around 34%, and we anticipate operating income of roughly $5 million. For fiscal 2011, we are targeting sales of around $2.3 billion. We expect our gross margin to be around 34% and that our operating income will roughly double compared to the prior year. We target our full-year tax rate at approximately 18%. I want to set expectations on the outlook information we planned to share during the remainder of the year. As many of you may recall, prior to the recession, we only provided annual targets. We moved to providing quarterly targets during the downturn, because of the poor full-year visibility. Given the improving environment, we are now shifting back to provide annual targets. While we did provide both the Q1 and full fiscal year outlook today, we are treating as a transition quarter. We do not plan to provide quarterly targets beyond Q1 this fiscal year, but we will share updates on our full-year outlook as we move through the remainder of the year as we have done in the past. I want to wrap up by emphasizing how product I am of our global organization’s performance during one of the more challenging years in our history. The year got off to a rough start, so we kept our focus, executed our plans and demonstrated very strong momentum as we exited the year. The economic storm appears to be passing and I believe we have delivered on our goal to emerge from it a stronger company. Our focus now is on returning to strong growth in our core business, while simultaneously developing several new exciting growth platforms for the future, including LifeSize and others that we will share with you in the months and quarters to come. The growth opportunities before us are more compelling than ever and I look forward to updating you on our progress during fiscal 2011. With that, we are now available to take your questions. Please follow the instructions of the operator. 
Operator: 
 :
Ashish Sinha – Morgan Stanley: Hi, just a couple of very quick questions. On your guidance, for the first quarter, your guidance of $6 million EBIT, just wanted to confirm whether it includes or excludes the BPA amortization from LifeSize? And similarly on your full-year guidance of operating income doubling year-on-year, is that based on fiscal 2010 operating income pre-amortization and one-offs or is it on reported operating income of $78 million?
Jerry Quindlen: I –
Erik Bardman: Hi Eric. Sorry, good ahead Jerry.
Jerry Quindlen: No, I was going to say go ahead and take the question.
Erik Bardman: Okay. So just one thing I want to clarify, our guidance for Q1 is actually approximately $5 million of our operating income. And I think your question there was whether or not it included amortization of intangibles and it does. That’s full company picture for us. I think the other part of your question was for full-year guidance. And again it is off of our reported financial base for FY ’10.
Ashish Sinha – Morgan Stanley: Thank you. Can you also talk a little bit about your product plans for the rise of iPad or tablets? I mean where do you see the opportunity? You briefly touched upon it on your – in your comments earlier. But where exactly do you see the opportunities that mice, is it things like keyboards or docking stations or things like that? A little help here would be greatly appreciated.
Jerry Quindlen: Sure. So I will take that one. We are looking at not just the iPad, but we are looking at the emerging tablet category. The same way – as people are asking us this question about net books in the last year or two years, how do you view it? We see the emerging table category as an opportunity. The thing that we are most interested in right is to understand how consumers use tablets versus net books, they are using them for different applications or is it an additional computer, and what are the pain points with tablets that as slick as they are, there is always some things that they don’t provide. We said a year ago that we really thought there was going to be a huge opportunity with net books for example to attach mice and headsets. If you look at our cordless mice sales for the last two quarters, when net books have been very strong, and we had our best quarter ever for cordless mice in Q3, and we had another very strong quarter in Q4 with the sales up 46%. So I don’t know it will be mice for tablet type computers, it might be something else. We are – it’s obviously very, very new. And as a percentage of all PC sold in our form factors, it’s very, very small. But as I think, the awareness grows, it will grow as a percent of the total and we will look at it as an opportunity and see where the pain points are for us to solve some consumer problems and add peripherals. So we are taking a wait-and-see attitude. This is the way I characterize it.
Ashish Sinha – Morgan Stanley: Thank you.
Jerry Quindlen: You’re welcome.
Operator: Your next question comes from the line of Yair Reiner with Oppenheimer & Co. Please proceed.
Yair Reiner – Oppenheimer & Co.: Yes, thank you. There seems to have been substantial delta this quarter between sell in into the channel and sell through. Can you talk about, A, what the channel inventories look like today, would you characterize them as kind of normal, above normal, below normal still? And B, where was most of that delta if it was concentrated in a particular product line?
Jerry Quindlen: Eric, if you want to take that.
Erik Bardman: Yes. So Yair, I think the first part of your question when you are talking about channel inventory, we don’t disclose specific inventory levels. But I can give you the sense that, on a sequential basis, our channel at the overall company level is down and our channel in each of our three retail regions is down well. We feel really well positioned with what we have got in the channel. And I would say that we feel very good about the – I would say the freshness of the inventory in the channel. We think we have got the right products in there and we are positioned well as we sell through growth. I think the other part of your question and if you are looking specifically at the delta between our sell-in numbers in Q4 and our sell through numbers for Q4, I think to set the context a little bit, if you look back to Q4 of ’09, it started in Q4 ’09 and it actually was even bigger in Q1 of ’10 and Q2 of ’10. You started to see our channel partners were going through the process of resetting their weeks of supply and inventory that impacted within our categories and our products. And so when you look at that on a year-over-year basis, so for example, the 54% growth you see in AMR in this quarter is of a very, very small and a very what I would say odd base from the previous year. And so one other things we fully anticipate not just for Q4, but for the next couple of quarters is, is that our sell-in numbers are going to be higher than our sell through numbers, but it’s really because of those very odd comparables from the year-ago period. I think when we think about health of the channel and you asked about that a little bit and sort of our prospects, we are very, very focused on and you will hear us talk about. As you will hear us talk about alignment of sell-in and sell through. And what we mean by that is within the quarter, we are very focused on the dollar volume of items that we are selling in and the dollar volume of items that we are selling out and/or selling through. And so we feel very good that we have got good balance. And when you hear us talk about alignment, we are really focused on that that the year-over-year growth rates, when you try to compare them is not a good comparable especially for the next couple of quarters.
Yair Reiner – Oppenheimer & Co.: That’s great. So, in other words, if we would look at these numbers QonQ in terms of sell-in versus sell through that probably will look much closer beyond your comparisons.
Erik Bardman: Yes and I think that’s probably without having all the details right here. I think that’s a pretty good proxy in terms of as we go over the next couple of quarters in terms of how to think about that.
Yair Reiner – Oppenheimer & Co.: Great. And then just one more from me. You are guiding gross margin a little bit down for next quarter. Can you talk about some of the puts and takes that are going into that forecast?
Erik Bardman: Sure.
Jerry Quindlen: I will take that one. So if you look at the – we are very happy. Let me start by saying I am incredibly happy with the gross margin improvement throughout FY10 and obviously ending the year with a record gross margin in Q4, we are very pleased about that. If you look at the 34% we are guiding to for Q1, if we deliver that, that essentially equals our record gross margin for Q1, so we are pretty bullish about it. And so obviously very optimistic that we can continue to see strong reception from consumers to our products. The channel is in very good shape as Eric just said for the first part of your question. So there is nothing in particular that we are suggesting. But we are clearly very bullish about being able to maintain our gross margin and the 34% it’s at the high end of our long-term range. So that’s how I would answer that.
Yair Reiner – Oppenheimer & Co.: Thank you.
Jerry Quindlen: You’re welcome.
Operator: Your next question comes from the line of Jonathan Tseng with Merrill Lynch. Please proceed. 
Jonathan Tseng – Merrill Lynch: Hi guys, it’s Jonny Tseng from Merrill’s here. I have got three questions, just taking one by one. The first one, I am trying to understand what the model looks like coming out of the downturn and if it’s changed. Now in ’07 you did $2.1 billion in the revenues and $230 million of EBIT, ’08 you did $2.4 billion in revenues and $290 million of EBIT, now you are looking to do $2.3 billion in revenues and about a $180 million of EBIT if you strip out the amortization of LifeSize. Now LifeSize hasn’t impact that. But looks to me your fixed OpEx base excluding (inaudible) is significantly higher run rate than it has been in the past. Have anything changed with that with that all soft dollar in the OpEx is the only productivity any different. Can you reconcile why that OpEx seems to be so much higher than it is in the past in your guidance?
Jerry Quindlen: Yes, so, Jonny I will comment on that. I think if you look at – you have to sort of go back to a year-ago and when we were going into the downturn and it was apparent that we were facing several quarters of revenue decline and I am pleased – as pleased as I am with the 29% double-digit sales growth in Q4, it’s the first quarter and six (ph) where we grew. But going into the downturn a year-ago, we were facing several quarters of potential revenue decline. We adjusted our cost structure based on that and we were also looking at a gross margin substantially below long-term range. And as a result, obviously our operating margins got squeezed deeply and we are well below our long-term targets of 12 plus. Getting back to the long-term operating margin targets which is really at the heart of your question is really a multi-step process. The first step we already took was a well over a year-ago is adjusting the cost structure. We said very clearly the second step was getting the gross margin back in the long-term range and the key to that was resetting channel, we did that. Clearly, we got the gross margin back in the long-term range and then (inaudible) if you look at the Q4 gross margin. The next step we have been clear about is getting the top line going again and as pleased as I am about the Q4 top line for the first quarter and six (ph) where we have grown. And now, step four is all about rebuilding that operating leverage and it’s going to take some time. I expect that throughout FY ’11 we will scale OpEx and control the rate of growth of OpEx to well below where the revenues at – when the revenue growth is at, so that we rebuild towards our long-term targets. We are projecting up almost 300 basis point improvement in operating margins, but it is going to take some time to get there. And as I said, this is the first quarter. We are just getting started. But as we said about gross margins when we said we get back to the long-term range, we stated that with resolve and confidence and we delivered it, and I am just as confident and just as committed, we will get back to our operating margin targets, but it is going to take a little while.
Jonathan Tseng – Merrill Lynch: Thanks, that’s very useful. My second question, on the tax rate, 18% is above your historic on the 13%, 14% level and just to understand why that’s changing? Has it I guess has to do with the US, I suppose the European mix? What are the drivers that change? And I guess it’s like the mix changes in 2012 and 2013 as the year recovers, does that tax rate come back down again?
Erik Bardman: Yes, and let me comment a little bit on that. I think to give you a little bit of a context, for FY10, our effective tax rate came in at 22% and our guidance for FY11 is a tax rate of approximately 18%. That’s a 400 basis point improvement and we feel good about that. I think the other part of your question I think and what you are really asking about is structurally long-term, there is nothing that’s changed in our business model that keeps us from being in a position where we can continue to get improvements on our tax rate. We are going to continue to work on that. And I would say that, yes, there will be a point in time where we will be able to get back to some of the levels you have seen from us in the past. Not in a position right now to be able to say exactly when, but feel very good about the 400 basis point improvement year-over-year, and we are going to continue to work hard to bring that down as we go through FY11 and into FY12.
Jerry Quindlen: And Jonny, I will just add to that. Some of your kind of question on operating model and op margins, I mean that’s (inaudible) in our thinking about tax rate. So we are – our long-term model targets have not changed this point on any of the parameters.
Jonathan Tseng – Merrill Lynch: That’s great. And just one last question. I guess the growth rates in LifeSize now even with the $5 million exceptional and you are annualizing about a $100 million in revenues on LifeSize about 15%, 20% up year-over-year. You talked about bookings being above 20% ahead of the run rates. When you acquired LifeSize you told us about 40 to 60% growth. Has anything changed there, what’s going on with, it’s just more seasonality in LifeSize. Should we expect more revenues to be coming through in the holiday seasons in the back end of the year? 
Jerry Quindlen: Nothing has changed in terms of my expectation of ramping towards those growth rates that we talked about. I’ll point to a couple of things, the first thing is I was very pleased with the quarter that we had in LifeSize overall, Erik mentioned it but a record quarter in terms of both their billings and shipments. Importantly we pretty much finished up the integration, there is still a little bit work to do, pretty much finished up the integration in Q4 and so that which can be a distracting thing internally is behind us and they are 100% focused on driving that sales ramp and accelerating the rate of growth to sales. And I expect to see our sales growth just incrementally improve each quarter as we go through the year. We’re continuing to see fantastic reception to the Passport and Express products and let me remind you again what those are, because another new terminology but these are the products that are essentially priced below $7,000, the Passport is below $2,500. Customer reception to those products has been very good. And I generally just see excellent momentum with in LifeSize and another factor that’s helpful is that we’re seeing in general spending in the enterprise space, it’s starting to pick up as the general economy picks up and I think that’s going to help as well. So nothing has changed in terms of my expectation for rapid acceleration at growth at LifeSize. 
Jonathan Tseng – Merrill Lynch: Thanks so much guys. 
Jerry Quindlen: Thanks Johnny. 
Operator: Your next question comes from the line of Alexander Peterc with Exane BNP Paribas. Please proceed. 
Alexander Peterc – Exane BNP Paribas: Thanks for taking my question. The first one would really be on against gross margins, it seems that historically Q1 is the week quarter for gross margins and so guiding for the full year in line with its first quarter its somewhat surprising, and also you do seem to tell that the exceptionally good gross margin in just reported quarter was down to efficiency gain and then to a lesser extent also to currency, so I mean another currency has got to some extent but what makes you so cautious for the remainder then? 
Jerry Quindlen: Well thanks for your questions Alexander and I’m glad to have to have the opportunity to comment on it. First of all, I mean I’ll repeat I think this is in response to Johnny’s question but again if you look at the Q1 gross margin, if we deliver a 34 that equals the record for a Q1, so I definitely don’t think we’re being timid in guiding to that. However if you look at the full year gross margin 34%, it will give you sense of how Erik and I are thinking about it. As I sit here today, I think there could be upside to that, there are several things that make me optimistic, one is very healthy state of the channel is only a good thing. We have a great line up of new products coming and I think the channel is in such good shape that they’re going to be very, very anxious to bring those in as soon as they’re available, as LifeSize grows with its high gross margins that will have accretive impacts on gross margins. So all those things make me very optimistic, but as I sit here today there is also some things that are on the horizon that are known. One of them honestly is concerns I have about some commodity cost headwinds particularly copper, which has a very big impact on our audio gross margin and oil which obviously affects our supply chain cost on every product category. There has obviously been a lot of talk about where the RMB is going to go and I’m in Europe right now and of course there is a lot of them economic uncertainties still here and that’s our biggest region. And I’m not sure how all that’s going to play out. So my optimistic to I think I would say yes. We comfortable baking of that in right now, no I don’t see any point to do that, I look forward to sharing the progress as we go through the year, if we see that things are panning out better and some of these concerns that we have, don’t materialize, I think you can expect that we’ll take it up. 
Alexander Peterc – Exane BNP Paribas: Thanks very much, it was very (inaudible) and helpful. Just a quick follow-up on LifeSize and in July that you could be looking at expanding into the living room as well so turn assets more of a B2C versus B2B products? 
Jerry Quindlen: You shouldn’t think of that as LifeSize. What we’re seeing is that’s not going to be so much of a LifeSize initiative, that’s a Logitech initiative that will happen, you’ll see that prior to the holiday selling season. What’s important about that in my mind is you’re starting to see some of the things we’ve talked about with such excitement about bringing video calling everywhere, making video calling as ubiquitous and as routine and as common as audio calling and we believe that means if people should be able to do a video call obviously PC-to-PC which is available today from a meeting room in your living room, on the go, and so that’s a key piece that will be enabled this year and I think it’s very exciting and that’s not LifeSize, its more Logitech but we’re working very closely together to enable that and you’ll hear more about that. 
Alexander Peterc – Exane BNP Paribas: Thanks very much. 
Jerry Quindlen: Thank you Alexander. 
Operator: Your next question comes from the line of Simon Schafer with Goldman Sachs. Please proceed. 
Simon Schafer – Goldman Sachs: Thanks so much. Just got a follow-on question on the LifeSize discussion, given Gerry that the growth expectation are unchanged for this business, clearly that’s going an importance, its outgrowing the rest of the mix. Is it fair to assume that that is gross margin accretive to the tune of a 100 basis points? 
Jerry Quindlen:  I didn’t do the math and I haven’t done the math on getting to 100 basis points. I think that I’ll make a statement more about the long term Simon, I mean I definitely believe that over the long term LifeSize will gross margin accretive. So I am thinking about that way for the long term for sure. Go ahead Erik. 
Erik Bardman: Sorry I had – Simon as well, yes I think from a rough basis, a 100 basis point in a full year is probably a decent proxy for you to use. I think and Gerry talked about it, the other thing that we feel very good about LifeSize is we expect as we go through FY11, that business will continue to grow, it’s going to get more profitable as we go through the year and we would anticipate right now even that when we get to Q4 of FY11 that the contribution from LifeSize is actually even going to be greater than the quarterly amortization charges which we’ve been talking to about. So with LifeSize you think about, is think about a business that is growing very, very quickly of a small basis about 5% of our sales or so today and very important for us going forward. 
Simon Schafer – Goldman Sachs: Because the amortization charges roughly still $7 million per annum, is that right? 
Jerry Quindlen: No, actually to correct that, is it’s in the range of around $18 million on a full year basis. 
Simon Schafer – Goldman Sachs: Got it, okay. So even excluding that and I know you’ve been asked this before I’m not sure I entirely understood the response, even adjusting for that, it does seem as if perhaps the operational gearing that we are used to it, your company isn’t coming quite at the same pace that we would have expected with what is clearly an exciting growth prospect on the topline. I’m not sure I understood your response on that previous question. 
Jerry Quindlen: Is that my response to that question? 
Simon Schafer – Goldman Sachs: Yes. 
Jerry Quindlen: Okay, yes I’m not sure specifically what you’re referring to I mean you mean how we’re ramping up LifeSize Simon? 
Simon Schafer – Goldman Sachs: Not specifically, I think Johnny’s question was referring to the observation that perhaps even when you adjust for the $18 million in intangibles that are now part of your operating expense run rate perhaps we’re not quite seeing the operational gearing, our overall operating expenses at the end of the day are growing almost inline or commensurately with your revenue run rate, you’re suggesting as part of your guidance and I wonder why that would be the case. Normally we would see a significantly more operational gearing as growth in the business model comes back. 
Jerry Quindlen: Okay, now I understand what we got, okay. So look, I’ll go back we’re not trying to repeat everything I said to Johnny. I think you have to go back and look at we had a pre-dramatic reset in the business model, we cut our costs dramatically but there is a point where we said, we’re not going to cut deeper and I’m talking about the actions we took on both operating expense and cost of goods. There was a point where we said, we’re not going to cut more deeply because now we’re cutting into the various things that will enable future growth R&D etcetera, and our revenues fell far faster than the rate of decline of our expense structure. And so we did a rapid deleveraging of the P&L when our operating margins were tightly squeezed and that’s why my answer was its going to take some time for us to build back to the long term op margin targets. We’ve put the pieces in place, getting back to revenue growth in Q4 was key and now we’re very committed to steadily rebuilding operating leverage starting in FY11. 
Erik Bardman: And actually let me add one thing to that as well Simon. When you look at our full year guidance for FY11, it implies approximately about a 14% year-over-year growth in operating expenses. 
Simon Schafer – Goldman Sachs: Right. 
Erik Bardman: About half of that expense comes from LifeSize and so that means it’s the remainder of the business, when you exclude LifeSize from an equation is growing in the high single digits, okay? And we’ve got revenue growth that’s implied at about 17% when you look at our guidance. So we feel very good to Gerry’s point that we’ve got the right amount of gearing, it’s going to take us some time to get back to those long term ranges, but we don’t see anything that’s structurally keeps us from getting there and we’re going to make a lot of progress this year.
Simon Schafer – Goldman Sachs: Got it, that’s much clear. Thank you and my follow-up question would just be on you referred to little bit there is sort of couple of moving parts on your components sourcing cost, one is clearly some changes in the dollar Euro exchange rate which have been pronounced and the second one is to some of these input price translation issues specifically on the copper side. I was wondering what sort of FX or guess what sort of input price inflation have you guys considered when you put your gross margin guidance out there, is that too complicated? 
Erik Bardman: Yes, actually it does get quite complicated and don’t have the time to talk about it now, but I would say is that from this standpoint we don’t disclose our specific assumption we make on FX, however what I would say is that when we set our targets we take into account current spot rate to that point in time. I think the biggest thing when you think about risk, I think which is the underlying part of your question, for us as is for would be for any company, when you’ve got really short term and a very near term volatility in FX, there is very little you can do to respond to that. However over the medium term and a longer term, if we were to see which some people believe may happen, we have to wait and see what actually plays out as if you see a structural shift in the dollar-euro exchange rates over the medium to longer term, we’ve proven over time that we’ve got a numerous levers within the business that we can pull. It’s related to how we price new products that come into the market, it’s related to how we do operational things across the supply chain. So we are worried about what’s going to happen. We’re very, very focused on it, but we do think that over the medium to longer term, these are all things that we can manage well and make sure that we can continue to grow in the environment. 
Simon Schafer – Goldman Sachs: Got it, great. Thank you. 
Jerry Quindlen: Thank you. 
Operator: Your next question comes from the line of Chris Gretler with Credit Suisse. Please proceed. 
Christoph Gretler – Credit Suisse: Thank you. Two question, the first with respect to your gross margin and when you started the quarter you were guiding for around 34%, now you’re coming substantially at, I was just wondering what is actually caused these deviation from your initial expectations and the second with respect giving your comment that you’re over in Europe but just wondering about your exposure actually to the Southern European countries and whether you have taken any measures to basically reduce the risks that you were getting by any potential development there? 
Jerry Quindlen: Yes, Chris I’ll answer the second part now and then Erik you can speak to Chris’s question about the gross margin performance in Q4. So the biggest concern I have with all of the volatility going on with Greece and Portugal and Spain etcetera is not so much of direct impact on our business in those countries but more what it does to just the overall psychology of European consumers and does it extend kind of, does it mute the return or the bounce back in consumer confidence and therefore people are little less willing to go out and spend it my biggest concern. Now the fundamentals of our business in every region including Europe are all moving in the right direction. There isn’t a place where isn’t moving in the right direction, they’re moving at different rates but the fundamentals all are pretty good, I worry about the impact something like this could have on psychology, I’m not particularly worried about our business in Greece. So that’s the way I’m thinking about it. Erik, you want to take the other part? 
Erik Bardman: Sure and Chris I think to your question about how did gross margin performed in Q4, there are couple of drivers for it, that were favorable. Overall improved favorable product mix which helped us as well as some operational efficiencies we’re able to achieve across our supply chain. In the quarter though the sequentially we were hurt by FX in Q4. So to give you a sense no one of those factors was greater than 50%, they were all a different level, but to give you a little bit of sense of what’s driving that. 
Christoph Gretler – Credit Suisse: So you think that you are surprised now despite that now you had more headwinds on FOREX than you had initially expected, that’s what you trying to tell me? 
Erik Bardman: No I wouldn’t say that, what I’m trying to say is that on a sequential basis to be really clear, is we were helped by our product mix, we were helped by things we’re able to do on our standard cost and our input cost as well across our supply chain but we did have some negative FX headwinds within the quarter. 
Christoph Gretler – Credit Suisse: Okay, and can I ask last question, I mean on components, do you face any component shortage now by any change? 
Jerry Quindlen: I would say and Erik, you may want to try, there is nothing that I would think about Chris. Demand is picking up in general and we’re watching very closely certain components that have longer lead times but I’m not aware of anything, we actually experienced something in Q3 around LifeSize, there was a component shortage but there has been nothing to my knowledge in Q4. Erik, anything you want to add to that. 
Erik Bardman: No I would say is that and I think you actually heard I think we probably had the possibility to see some small shortages back in Q2 and Q3 because when the economy started to recover first here in the US and some other markets, there were some suppliers that were a little bit cautious about when they ramped up their production, but now across our supply chain we’re not seeing anything that I would call significant or outside of normal operations. 
Christoph Gretler – Credit Suisse: Yes, okay. Very good, thank you. 
Jerry Quindlen: Thank you Chris. 
Operator: Your next question comes from the line, your last question, I’m sorry comes from the line of Stephan (inaudible). Please proceed. 
Unidentified Participant: Yes, hello my question has been answered. 